Operator:
':
Bob Brunn:
':
':
':
':
':
Greg Swienton: Thanks Bob and good morning everyone. Today we will recap our first quarter 2010 results, review the asset management area and then discuss our outlook and forecast for the year and after our remarks we will open up the call for questions. So let me get right into an overview of our first quarter results and for those of you following along in the PowerPoint presentation we are on page 4. Net earnings per diluted shares from continuing operations were $0.24 for the first quarter 2010 as compared to $0.20 in the prior year period. In 2009 the first quarter included a $0.10 charge related to restructuring and other items. Excluding these items in the prior year comparable EPS from continuing operations were $0.24 in the first quarter 2010, as compared to $0.30 in 2009. While earnings were down versus the prior year they were above our forecast range of $0.17 to $0.22. As a reminder we discontinued all supply chain operations in Europe and South America by the end of last year and have now restated our historical EPS to reflect the exclusion of these discontinued operations. The comparable EPS we originally reported in the first quarter 2009 including these operations were $0.25. So our restated results excluding these operations for the first quarter 2009 were $0.30. Total revenue for the company was up by 4% from the prior year. Total revenue reflects higher fuel prices and favorable foreign exchange rate movement partially offset by lower fuel volumes. Operating revenue which excludes FMS fuel and all subcontracted transportation revenue was unchanged from the prior year. The impact of favorable foreign exchange rates was offset by lower FMS contractual revenue. On page 5, in fleet management, total revenue increased 2% versus the prior year. Total FMS revenue includes the 21% increase in fuel services revenue reflecting higher fuel prices partially offset by lower fuel volumes. FMS operating revenue which excludes fuel declined by 2% due to lower contractual revenue. Contractual revenue which includes both full service lease and contract maintenance was down 3% or down 4% excluding foreign exchange due to fewer contract at units in the fleet. Commercial rental revenue was up by 2% but was unchanged from the prior year when excluding the impact of foreign exchange rate. Rental revenue benefited from improved utilization, offset by a significantly smaller fleet size. Net before tax earning and fleet management were lower by 28%. Fleet management earning as a percent of operating revenue decreased by 110 basis points to 3.2%. FMS earning were negatively impacted by lower full service lease performance due to fewer vehicles in the fleet and higher maintenance cost on an older fleet as well as higher depreciation expense per unit. These negative impacts were partially offset by better used vehicle results, improved commercial rental performance and lower expenses in our retirement plan. Turning to the supply chain solution segment on page six, total revenue was up 10%, reflecting higher automotive volumes and favorable foreign exchange rate movement. Operating revenue grew by 4% due to favorable foreign exchange rate movement and higher automotive volumes, partially offset by some locations we closed in the latter part of last year as we rationalized underperforming account. SCS net before tax earning were $7 million for the quarter, up over 360% compared to a very weak first quarter last year.
': I already highlighted our quarterly revenue results so let me start with EPS. Comparable EPS from continuing operations was $0.24 in the current quarter, down from a comparable $0.30 in the prior year. The average number of diluted shares outstanding for the quarter declined by 2.6 million shares to 52.7 million. In December 2009, we announced a 2 million share anti-dilutive re-purchase program and in February 2010, we announced the separate $100 million re-purchase program. These programs run simultaneously and were authorized for two year period. During the first quarter, we re-purchased 550,000 shares at an average price of 3509 per share under the $100 million program. 
': I already highlighted our quarterly revenue results so let me start with EPS. Comparable EPS from continuing operations was $0.24 in the current quarter, down from a comparable $0.30 in the prior year. The average number of diluted shares outstanding for the quarter declined by 2.6 million shares to 52.7 million. In December 2009, we announced a 2 million share anti-dilutive re-purchase program and in February 2010, we announced the separate $100 million re-purchase program. These programs run simultaneously and were authorized for two year period. During the first quarter, we re-purchased 550,000 shares at an average price of 3509 per share under the $100 million program. 
': Our current year tax rate is somewhat above our normalized rate due to a higher proportion of non deductible charges on a smaller earnings base. I will now turn to page 8 to discuss some of the key trends we saw during the first quarter in each of the business segments. 
': The reduction in the lease fleet primarily reflects, the cumulative effect of customer non renewals of expiring leases resulting from a protracted freight recession. The fleet size in our contract maintenance product line shows similar trends. During the first quarter we continue to see customers downsizing their lease fleets at a somewhat higher rate, than planned. However, we continue the effectively use our centralized asset management process to extend lease terms and redeploy vehicles with customers. You can see some of these graphs highlighted in the appendix to the presentation on page 23 if you want to take a look at those later. Lease pricing on new units has been and remains firm, as we are focused on realizing appropriate long term returns for investments made in this asset based contractual product line. For the first time in almost two years miles driven per vehicle per day on U.S. lease power units increased over the prior year. Miles per unit were up by 1.4% versus the first quarter 2009 which is an improvement over the 2% year-over-year decrease we saw in the fourth quarter of 2009. Excluding foreign exchange commercial rental revenue was unchanged from the prior year on a 12% smaller average fleet. Despite a significantly smaller rental fleet, we rented each vehicle for a greater number of days during the quarter resulting in higher utilization. Global pricing on power units was flat which represents an improvement from the 4% decline we saw last quarter. Global commercial rental utilization on power units was 68.6% up 780 basis points from 60.8% last year. 
': Also in FMS we saw stronger used vehicles results reflecting both our initiatives and an improved environment. I will discuss those results separately in a few minutes. FMS also benefited from lower retirement plans expense. 
': Improvements in auto volumes were partially offset by the closure of certain operating locations we undertook in the latter part of last year as we rationalize underperforming accounts. SCS earnings of $7 million for the quarter were up strongly over the weak prior year period, driven largely by higher automotive volumes. SCS net before tax as a percent of operating revenue was 2.9% and reflects the typical seasonally slower period as well as some impact from plant shutdown by a significant automotive customer among other items. In Dedicated Contract Carriage, operating revenue declined 1% due to some contract non-renewal. 
': Technology spending included cost related to main frame, shop maintenance and purchasing systems which we expect to result in cost and productivity benefits in future years. At this point, I will turn the call over to our Chief Financial Officer, Robert Sanchez to cover several items beginning with capital expenditures.
Robert Sanchez : Thank you Greg. Turning to page nine, close capital expenditures in the first quarter totaled 276 million, up by 51 million from the prior year, spending on lease vehicles declined by $85 million or 41%. Lease capital is down due to lower new and replacement lease sales as customers downsize their fleets. Lease spending is also down due to the successful implementation of our strategy to increase the number of lease term extensions and increase the use of surplus and other midlife vehicles to fulfill new lease sales. These actions reduce the requirement for new vehicle purchases to fulfill customer fleet needs in the lease product line. Gross capital spending on commercial rental vehicles was $142 million in the quarter due to our planned refreshment of the rental fleet this year. This is an increase of 138 million over last year where we spent virtually no capital on rental vehicles for the full year in 2009 due to the soft economy. While we expect full year total capital spending to be at or near our prior forecast range, we may reallocate some capital between the product line as demand conditions merit. We realized proceeds primarily from sales of revenue earning equipment of 49 million in the quarter, up by $3 million from the prior year. This increase primarily reflects higher used truck pricing including proceeds from sales full year net capital expenditures were $227 million up by $48 million from the prior year. 
':
': These items more than offset higher depreciation cost per vehicle stemming from lower residual values and accelerating depreciation rates on certain vehicles. Including the impact of used vehicle sales we generated $336 million of total cash unchanged from the prior year. Cash payments for capital expenditure were $200 million down by $52 million from the prior year due to the timing of payments for vehicles received late in the current quarter from the OEMs. Including our cash capital spending the company generated a $136 million of positive free cash flow in the current year. This is an increase of $52 million from the prior year due primarily to the timing of cash payments for vehicles, we continue to expect the full year free cash flow to be at or near our prior forecast of $225 to $275 million. On page 11 total obligations of approximately $2.5 billion are down by $72 million as compared to the year end 2009. The decreased debt level is largely due to the use of positive free cash flow to pay down debt. Balance sheet debt to equity was a 172% as compared to a 175% at end of the prior year. Total obligations as a percent of equity at the end of the quarter were a 181% versus a 183%, at the end of 2009. Our equity balance at the end of the quarter was $1.4 billion down by $19 million versus the year end 2009. The equity decline was driven by net share repurchases of $23 million and dividends of $13 million. At this point I will hand the call back over to Greg to provide to provide an asset management update.
Greg Swienton: Page 13, summarizes key results for our asset management area globally. At the end of the quarter our global used vehicle inventory for sale was 6800 vehicles down by 2700 units from the first quarter 2009 and down by 100 units from the end of the fourth quarter 2009. We are very pleased by the reduction we have achieved in our used vehicle inventories which are slightly below our target range. We sold 4700 vehicles during the quarter, up 4% from the prior year. We saw improved used vehicle demand in the first quarter and this demand has continued into April. Stronger demand has allowed us to start to become more selective on used vehicle pricing and increased the proportion of retail sales of vehicles. Compared to the first quarter 2009 proceeds per vehicle were down 4% on tractors but were up 12% on trucks. From a sequential standpoint however, prices on both vehicle types were up strongly versus the fourth quarter 2009 with tractor pricing up 7% and truck pricing up 15%. At the end of the quarter, approximately 9800 vehicles were classified as no longer earning revenue. This was down by 4200 unit or 30% from the prior year and unchanged from the fourth quarter 2009. This decrease versus the prior year reflects fewer units held for sale and an improvement in rental utilization. We continue to successfully implement our strategy to increase the number of lease contract on existing vehicles that are extended beyond their original lease term. By the first quarter, the number of these lease extensions in the U.S. was up by approximately 550 unit or 37% versus the prior year. Increasing lease extensions is a beneficial strategy in the current market environment as it retains the revenue stream with customer and lowers new capital expenditure requirement.
':
':
':
':
':
':
':
':
Operator: (Operating Instructions). Our first question is from David Ross. You may ask your question and please state your company name.
David Ross - Stifel Nicholas : Yes Stifel Nicolaus, good morning gentlemen. Greg you talked about the increase in maintenance costs on the order fleet as there is a lack of renewals right now. How much I guess can the average fleet continue to age before there is a need for renewals?
Greg Swienton:
':
':
':
':
':
':
David Ross - Stifel Nicholas :
':
':
':
Greg Swienton:
':
':
':
David Ross - Stifel Nicholas : And then last question is on the contract related maintenance side. That was down 11% more so than any other piece of the FMS puzzle. I guess what are your thoughts there and why was that down so much?
Greg Swienton:
':
David Ross - Stifel Nicholas :
':
Greg Swienton:
':
David Ross - Stifel Nicholas :
':
Greg Swienton:
':
Tony Tegnelia: On a net basis I think Greg is exactly right. The customers have reduced their fleet in total, so this product line is when where its not on lease with us, but I think generally even though they aged those fleets a bit, if the actual average repair on those units is a bit higher that average higher amount is still more than offset by the reduction of the units actually running out there and also the reduction in the mile of those units that are running out there. So that portion of our customers fleet is smaller and they are running fewer miles which means less transactional activity on that even though the average repair may rise because the units are older.
David Ross - Stifel Nicholas :
':
Operator: Our next question is from Jon Langenfeld. You may ask your question and please state your company name.
Jon Langenfeld - Robert W. Baird: Robert W. Baird. Good morning. On the crucial rental side Greg, what would be the year-over-year growth pricing there both in the first quarter here as well as the fourth quarter?
Greg Swienton: You broke up a little but you are asking about pricing?
Jon Langenfeld - Robert W. Baird: Yes, commercial rental pricing year-over-year growth in the fourth quarter and the first quarter.
Greg Swienton: Year-over-year it maybe less bad or maybe up a bit but I think kind of flat from fourth to first quarter.
Jon Langenfeld - Robert W. Baird: So flat meaning flat on year-over-year basis.
Greg Swienton: No flat on the fourth quarter versus first quarter.
Jon Langenfeld - Robert W. Baird: So by the way Q1 relative to Q1 last year, would that still be down?
Greg Swienton: Slightly.
Jon Langenfeld - Robert W. Baird: Okay. So the ability to drive rates in this line of business, I am assuming part of this is seasonal, part of this is the cycle, but the expectation for higher rates would be very likely here I would think over the course of the next couple of quarters. 
Greg Swienton: If you continued to see the demand that we have seen in March and into April that would be a logical conclusion. 
Jon Langenfeld - Robert W. Baird: Okay. And then on the lease fleet size still declining sequentially, when should that stop are we still several quarters out from that actually stabilizing?
Greg Swienton: Given no other external dynamics that cause the problem and we are sort of in the same general economic scenario of gradual improvement we think that the net sales improvement ought to show up more toward the latter part of this year which means that the revenue and earnings from that would not occur until like the second quarter of 2011. 
Jon Langenfeld - Robert W. Baird: Okay and then historically the extension side of the equation, what sort of conversion rate do you have on the extensions to be able to then convert them into a new vehicle?
Greg Swienton: Well I think we have probably never done as much in our history as we have done recently but I would put it this way, since these are customers who have chosen to extend and therefore have chosen to stay with us as customers I think that there is a high probability, that as they have maintained the relationship with us they are going to look to us when it is time to actually get new equipment. 
Jon Langenfeld - Robert W. Baird:
':
':
Greg Swienton: No I would think not because the important thing is to maintain the service and the quality and the relationship with the customer and the very fact that they have extended would indicate that they are satisfied with that service and relationship.
Jon Langenfeld - Robert W. Baird:
':
Greg Swienton:
':
':
Jon Langenfeld - Robert W. Baird: Right and then just two number questions if you have them. Do you have the not yet earning number for the global fleet?
Greg Swienton:
':
Jon Langenfeld - Robert W. Baird: And then while you were looking for that I was also wondering if you had the amount of losses or gains in the depreciation line?
Robert Sanchez: Yeah the (inaudible) earnings is $1400.
Jon Langenfeld - Robert W. Baird: Okay.
Greg Swienton: Robert can find it in the 10Q better, faster than I can.
Jon Langenfeld - Robert W. Baird:
':
Greg Swienton: No that was 700 at year end. March 31, 2009 was 1100.
Jon Langenfeld - Robert W. Baird: 1,100 okay. 
Greg Swienton: What was the second question?
Jon Langenfeld - Robert W. Baird: Second question was the amount of losses or gains in the depreciation line.
Greg Swienton: Just under $10 million of expense was from the write-down at the used vehicles center.
Operator: Thank you. Our next question is from Scott Group from Wolfe Trahan.
Scott Group - Wolfe Trahan: Couple of quick ones, first. Can you give a little color on the new technology initiatives and dedicated and then how much was the expense in 1Q and what do you think that should be going forward.
Greg Swienton: Broadly, those are intended to provide some software capabilities that we believe will enhance our service for customers and improve our administrative efficiency but I will turn that over to John Williford who has that segment
John Williford: Yeah we are putting in a new operating system for dedicated contract carriage. I think it will improve our capabilities quite a bit and in the first quarter I think the impact was about half a million
Scott Group - Wolfe Trahan: Any expectations for that going forward?
John Williford: I think by the end of the year it should net out. We should start to see the benefits equaling the cost
Scott Group - Wolfe Trahan:
':
John Williford:
':
':
Scott Group - Wolfe Trahan:
':
Greg Swienton: Yes. We are quite away from where the peak size of the rental fleet was. I think that will depend on demand and sometime over the next few years as I sort of intimated in my comments, we are looking at that even this year whether it will make sense to increase that.
':
':
':
Scott Group - Wolfe Trahan: Right, and until you get those fleets back up to those peak level, can you get back to that four for fifty years kind of peak number you had in 2008 or does that mean there is something else you can do to get there or do we just have to wait for the fleet to get back up the peak up?
Greg Swienton:
':
':
Operator: Thank you our next question Alex Brand, you may ask your question and please state your company name.
Alex Brand - Stephens, Inc.: 
':
':
Greg Swienton: 
 :
Alex Brand - Stephens, Inc.: Right.
Greg Swienton: 
':
':
Alex Brand - Stephens, Inc.: Right I think you had said before you had like 250 million of CapEx that was mostly related to replacement vehicles and people trying to grab non-engines while they could.
Greg Swienton: That was primarily the 250 million was primarily a reflection of our commitment to replenish and refresh the rental fleet.
Alex Brand - Stephens, Inc.:
':
Greg Swienton: I'll let Tony comment it if he would like what he and the sales organization are encountering these days.
Tony Tegnelia:
':
':
Alex Brand - Stephens, Inc.: And just one more question for Robert, can you remind us what we should expect on pension expenses and overall retirement expenses for the rest of the year?
Robert Sanchez:
':
':
Operator: Thank you. Our next question is from Art Hatfield. You may ask your question and please state your company name.
Art Hatfield - Morgan Keegan: Morgan Keegan. Good morning everybody.
Greg Swienton: Good morning.
Art Hatfield - Morgan Keegan:
':
':
Greg Swienton: 
':
Tony Tegnelia:
':
':
':
Art Hatfield - Morgan Keegan: Do you have the utilization by the month? First quarter?
Tony Tegnelia: First quarter was about 60%.
Art Hatfield - Morgan Keegan: For the first quarter about last year. And you have it by month now?
Tony Tegnelia: Yes. For this year or for last year.
Art Hatfield - Morgan Keegan: For this year.
Tony Tegnelia:
':
Art Hatfield - Morgan Keegan: Okay, great. Thank you.
Tony Tegnelia: Which are very attractive utilization rates for that early in the year.
Art Hatfield - Morgan Keegan:
':
Tony Tegnelia:
':
':
Art Hatfield - Morgan Keegan:
':
Greg Swienton:
':
':
':
':
':
':
':
':
':
Art Hatfield - Morgan Keegan:
':
Greg Swienton: Tony?
Tony Tegnelia:
':
':
Art Hatfield - Morgan Keegan: Okay. And if you have the experience you had of having extension expire and then re-extending those or you be pretty firm to the initial terms to the extensions?
Tony Tegnelia:
':
':
Operator: Thank you. Our next question is from Todd Fowler. You may ask you question and please state you company name.
Todd Fowler - KeyBanc Capital Markets:
':
Greg Swienton: Good morning.
Todd Fowler - KeyBanc Capital Markets: Greg, sticking with the commercial rental fleet, at what point would you have to make the decision in the year to actually grow that fleets, take it those vehicles in this service by the end of the year?
Greg Swienton: 
':
':
':
':
':
Tony Tegnelia: 
':
Todd Fowler - KeyBanc Capital Markets: Okay so you can grow the fleet without having significant CapEx in the short term.
Greg Swienton: In the short term yes.
Todd Fowler - KeyBanc Capital Markets: Okay and then on commercial one for pricing if memory serves me I think that half of the commercial rental revenue comes from whole service lease customers is that pricing established on an annual basis or how quickly does that pricing reset or does that look at renewed dictations from the utilization trends?
Greg Swienton:
':
':
Todd Fowler - KeyBanc Capital Markets: Right and how frequently is that price updated is that an annual decision or is that something that covers the life of the lease product?
Greg Swienton: Well it would be whatever the lease rate is at that period of time which also adjusts for CPI and things like that as well. So whatever the outstanding lease rate is for lease customers at that time that is the rental rate that they will pay.
Todd Fowler - KeyBanc Capital Markets:
':
':
John Williford:
':
':
':
':
':
':
':
':
Todd Fowler - KeyBanc Capital Markets: Just thinking about the guidance for the second quarter, you know when your business just does have some seasonality, can you talk about, Greg some of the drivers that get you from the $0.25 here in the first quarter to kind of mid-point at the range being $0.47, $0.48 in the second quarter?
Greg Swienton: Yeah the big step up is normal seasonality and in improving environment economically and financially, I think the four pieces that would cause the improvement, second quarter to first would be the commercial rental improvement in utilization, the used vehicle sales pricing, the miles driven continuing to be anticipated to be stronger and you have got a big improvement in supply chain when you look at volume and activity especially in the automotive portion compared to last year so those four, really carry you as well as the seasonality
Todd Fowler - KeyBanc Capital Markets: And did you see what miles driven were on a year-over-year basis in March. 
Greg Swienton:
':
Operator: Next question is from Matt Brooklier your line is now open, you may ask your question and please state your company name
Matt Brooklier - Piper Jaffray: Yes, Piper Jaffray good morning guys. I wanted to go back to the commercial rental fleet you guys indicated that you are potentially reallocating some of your CapEx this year to expand that fleet. Where are you in terms of that process? Is that kind of an initial discussion phase, are you out speaking with some of the OEMs in terms of putting together packages to purchase, new equipment. I am just trying to kind of a measure here conviction level in terms of expanding the commercial rental fleet going forward.
Greg Swienton:
':
Matt Brooklier - Piper Jaffray:
':
Greg Swienton:
':
Matt Brooklier - Piper Jaffray: Okay and on the DCC side you guys showed nice, sequential profitability improvement in that particular business line, want to think and look at pricing going forward, I know that the pricing on that particular product is more kind of longer term contractual, wondering given the current freight environment and things getting tighter here, are you guys able to take price going forward? I mean when did the majority of those contracts come up for renewal, or is it kind of balanced throughout the year or is it skewed more towards the beginning in the year maybe just add a little bit of a color on DCC pricing going forward.
Greg Swienton:
':
':
Matt Brooklier - Piper Jaffray: Okay. Are you actively able to start ratcheting price up as contracts come out for renewal or there are more contracts that come up earlier or later in the year kind of what does that look like during 2010?
Robert Sanchez:
':
':
':
':
Matt Brooklier - Piper Jaffray:
':
Robert Sanchez:
':
':
Operator: Your next question is from David Campbell.
David Campbell - Thompson, Davis, & Company: I wanted to ask you about the miscellaneous income in the first quarter, a $1.5 million, where was that from?
Robert Sanchez: That was better performance for the securities in our deferred compensation plans, the better performance caused that gain.
David Campbell - Thompson, Davis, & Company: Okay. You think the gains from the used vehicle sales will increase in the next two quarters but I am not sure if they will because you made less vehicles for sale.
Robert Sanchez:
':
David Campbell - Thompson, Davis, & Company: Which will impact your DNA charges?
Robert Sanchez: Correct.
David Campbell - Thompson, Davis, & Company: Total DNA charges.
Robert Sanchez:
':
David Campbell - Thompson, Davis, & Company: You were talking about reallocating capital expenditures to commercial rental fleet if there continues to be increase in demand so where would the CapEx reductions come from, where would you spend less money?
Robert Sanchez:
':
David Campbell - Thompson, Davis, & Company: Full service lease you mean the long term leases?
Robert Sanchez:
':
David Campbell - Thompson, Davis, & Company: Then the problem will come when both of them are stronger, then you have to do something different right?
Robert Sanchez:
':
David Campbell - Thompson, Davis, & Company: The delaying of outsourcing of this to be sold, can you explain that? You said you could increase the fleet size without adding CapEx immediately?
Tony Tegnelia:
':
':
Operator: Our final question today is from Jeff Kauffman.
Jeff Kauffman - Stern Agee: 
': 
': 
':
':
Tony Tegnelia:
':
':
':
':
Jeff Kauffman - Stern Agee: Just so I can get an idea because it sounds like we are near the bottom of the fleet cycle. Do you have the vehicle counts for the rental fleet and the full service lease fleet at the end of 1Q?
Greg Swienton: Yes. 
Jeff Kauffman - Stern Agee: Okay and we can follow up offline as well. I just wanted to get those counts if you happen to have them handy.
Greg Swienton: Yes we have them now.
Greg Swienton: At the end of March by product line, full service lease was 112,700 commercial rental 28,800; service vehicles and other 3,000; 144,500 active units, 6,800 held for sale for a total of 151,300 plus 33,900 customer vehicles under contract maintenance.
Jeff Kauffman - Stern Agee:
':
Greg Swienton: Right and that will all be out in the queue pretty soon.
Jeff Kauffman - Stern Agee:
':
':
':
':
Greg Swienton: Well remember what we measured Jeff, we measured EVA per unit. And the EVA per unit is higher than it was several years ago. So we have not changed our standards. You know that the fact that equipment is more expensive or will be more expensive. The important thing is the return on that investment. So you can't assume that just because you are going through a difficult time that lease is acting like other transactional products. So our commitment and our requirement for the long-term because you signed a six year lease, you are burdened with that. On your bottom line you P&L and your return. So our critical measurement there is still EVA per unit and it is better than it was several years ago.
Jeff Kauffman - Stern Agee: So with the cost of the equipment being higher is it safe to assume then that your cost of capital is lower?
Greg Swienton: 
':
':
':
':
Jeff Kauffman - Stern Agee:
':
Greg Swienton: 
':
Operator: Thank you. And that concludes the question-and-answer session. I would now like to turn the call over to Mr. Swienton for closing remarks.
Greg Swienton: All right. Well a little after noon. So our time is finished. I thank you all for attending and have a very good safe day. 
Operator: 